Operator: Good morning, ladies and gentlemen, and welcome to the North American Construction Group conference call regarding the third quarter ended September 30, 2025. [Operator Instructions] They are free to quote any member of the management, but they are asked not to quote remarks from any other participant without that participant's permission. The company wishes to confirm that today's comments contain forward-looking information and that actual results could differ materially from a conclusion, forecast or projection contained in that forward-looking information. Certain material factors or assumptions were applied in drawing conclusions or in making forecasts or projections that are reflected in the forward-looking information. Additional information about those material factors is contained in the company's most recent management's discussion and analysis, which is available on SEDAR and EDGAR as well as on the company's website at nacg.ca. I will now turn the conference over to Jason Veenstra, CFO. Please go ahead.
Jason Veenstra: Thanks, Joanna, and good morning, everyone. As we did last quarter, I'll start off with the financials and pass the call to Joe for the operational and forward-looking commentary. Starting on Slide 4. The headline EBITDA numbers of $99 million and 14.6% gross margin were generated by a strong operational quarter and were much improved from the second quarter of 2025. We will discuss the specifics of the margin performance later, but in general, the operational teams were able to execute their plans effectively given steady weather conditions and consistent customer demand. You can see from the graph that we continue to post continuous revenue growth as we posted $390 million of combined revenue, a 6% sequential increase from the second quarter, despite the seasonally lowest demand during the third quarter in the oil sands region. Australia continued its consistent growth trajectory with a 12% sequential increase and an impressive growth of 26% compared to Q3 of 2024. To put our top line performance in perspective, this quarter's $188 million in revenue we generated in Australia is nearly 2.5 times the 2022 run rate, an increase achieved in just 3 years. The MacKellar Group generated over $65 million in September alone and set another company record for monthly revenue as they continue to grow. September's strong top line bodes well heading into the fourth quarter, and this growth profile is indicative of the demand we see in Australia. The 26% year-over-year increase reflects 2 significant contracts secured in 2024: one expansion at an existing site; and one new project, as well as the growing production profile of our largest customer in Australia. Enabling and bolstering these increases are the units of fleet we transferred from Canada and are now operating in the region. Moving to Slide 5 and our combined revenue and gross profit. As mentioned, Australia's margin of 19.6% benefited from both productive weather conditions, but also strong operational performances across the sites. And specific to last quarter, we actively increased maintenance headcount in early Q3 and subsequently were able to rely less on higher cost external maintenance service providers. The oil sands region posted a solid quarter at 9.2%, up significantly from the challenging second quarter of 2025. Demand for our equipment was consistent through the quarter, which allowed our operators to properly plan and execute the scopes of work. Our share of revenue generated in the third quarter by the Fargo, Nuna and other joint ventures was $74 million in the quarter. Our Fargo team completed a strong quarter of work and progressed the project from 70% to approximately 80% at the end of the quarter. Stepping back, combined gross profit margin of 14.6% reflected steady weather conditions, consistent demand, increased internal maintenance headcount and reduced reliance on third-party heavy-duty mechanics. Of note, the 8.9% posted in Q2 was restated from the 10.6% reported as certain expenses in the Fargo joint ventures had been classified as administrative when, in fact, should be included in the determination of gross margin. Moving to Slide 6. Q3 EBITDA and EBIT were down from their 2024 comparables, as already indicated in our discussion, but importantly, in line with our guidance for the second half of 2025. The 25.3% margin we achieved is indicative of the commentary thus far and a significant improvement from the 21.6% posted in Q2. Included in EBITDA is direct general and administrative expenses of $13 million in the quarter and equivalent to 4.1% of reported revenue, which is essentially at the target we've set for ourselves. Going from EBITDA to EBIT, we again expensed depreciation equivalent to approximately 14% of combined revenue, which is consistent with the 14% posted in 2024 Q3, consistent with our expected run rate moving forward, given historically we've been between 13% and 15%. Adjusted earnings per share for the quarter of $0.67 reflects EBIT generated by the business, net of the expected interest and taxes. The average interest rate for Q3 remained consistent at 6.4%. Moving to Slide 7. I'll briefly summarize our cash flow. Net cash provided by operations prior to working capital of $72 million was generated by the business, reflecting EBITDA performance net of cash interest paid. Free cash flow of $46 million for the quarter was based on EBITDA and the disciplined sustaining capital maintenance spend in the quarter. Moving to Slide 8. Net debt levels ended the quarter at $904 million, a slight increase of $7 million in the quarter as free cash flow generation was used on growth capital, share purchases and dividends. Net debt and senior secured debt leverage ended at 2.3x and 1.6x, respectively. When taking into account the $125 million reopener we completed in October, senior secured leverage decreases to 1.3x with no change to net debt. Senior unsecured debt now accounts for approximately 40% of our overall net debt, and we've been pleased with the demand for that source of financing as it provides the ability to confidently grow our Australian and infrastructure businesses. With those comments, I'll pass the call to Joe.
Joseph Lambert: Thanks, Jason, and good morning, everyone. I'll start on Slide 10, where our Q3 trailing 12-month recordable rate of 0.45 continues our almost decade-long trend of bettering our industry-leading target frequency of 0.50. It has been particularly pleasing to see our safety management systems and processes remain successful as we have expanded and diversified our business across multiple commodities and into the U.S. and Australia. The exposure hours now exceeding 7 million is about 7 times our 2016 low and demonstrates the scalability of our safety systems and consistency of our safety culture regardless of the country or the commodity. On Slide 11, I'd like to highlight the strong operational quarter and gross margin achieved about 15%. The continued high demand driven predominantly from the 30% year-over-year growth over 3 years in Australia and the result of $1.5 billion record top line over the last 12 months. The 100% renewal rate, average 5-year contract terms and scope expansion opportunities continue in Australia and the $2 billion add to our backlog, provides the stability and visibility for several years to come. We also added another $125 million in liquidity from senior unsecured notes and believe we are well set up for growth opportunities we see in Australia and in infrastructure. On Slide 12, we believe our H1 issues are truly behind us. We have a strong Q3 in the books, are in line with expectations and have a keen focus on delivering a safe and efficient end to the year. On Slide 13, our equipment utilization, which jumped in late 2023 with the MacKellar acquisition, is expected to lift into the target zone in Q4 as our rapidly growing Australian demand is offsetting reductions in our Canadian demand. Fleet utilization drives our return on capital and our asset management team is keenly focused on a clear execution plan for putting assets back to work, transferring assets to higher demand markets and extracting the highest value from the consumption and sale of excess assets. As we start to look forward, I would like to reiterate that similar to last year, we have a large amount of predominantly oil sands work scopes that remain in tender process, and we will await those results before providing our 2026 outlook, which we expect to provide in early to mid-December. On Slide 15, we move into looking at the macro tailwinds that we believe will be driving all of the markets we operate in for the next few years. In Australia, we expect to see the continued growth in demand driven by the resource richness of the country and the speed at which new projects are built or existing mines are expanded. We believe Queensland thermal metallurgical coal demand will remain strong with 5% to 10% annual growth potential and the biggest opportunities in Australia coming from gold and iron ore in Western Australia and copper opportunities in New South Wales. We likewise see growing civil opportunities in Australia with increasing new mine site development and expansions driving civil earthworks constructions, such as site access roads, tailing storage construction and facility expansions. Western Australia is also rich in resources like nickel and lithium and has many mines on care and maintenance status due to current commodity pricing. Should those prices increase, Western Australia will be booming even more. Altogether, Australia has become the strategic hub for Western allies seeking to secure their critical mineral supply chains with demand for large-scale moving -- earthmoving ever increasing. In the U.S., we see the biggest opportunities in the infrastructure markets with federal investments being streamlined for prompt construction of climate resiliency projects, like our Fargo-Moorhead flood diversion project. Energy transition projects like pump hydro and other major earthworks construction required for Western U.S. water conservation and transportation. Although mine development in the U.S. does not advance nearly as quickly as in Australia, we do expect to see increasing demand in U.S. mining and civil contracting, predominantly supporting the Western U.S. gold and copper markets. In Canada, we see increasing resource development, defense projects and infrastructure work with major works planned in the far north, providing what we think will be a competitive advantage to our Nuna partnership with the Kitikmeot Inuit Association. As mentioned in my letter to shareholders, we believe these type of nation-building project opportunities will come to market quickly with the support of government leadership, and we are positioned to execute at scale. Moving into Slide 16. We highlight our strategic priorities for closing out the year and heading into 2026. These priorities simply feed into the market assessments and opportunities we see by region, as discussed on the previous slide. In summary, these priorities are growth in Australia led by Western Australia opportunities, advancing teaming agreements and subcontracting opportunities in our infrastructure business, targeting the 25% revenue contribution by 2028, leveraging our Nuna experience and indigenous ownership for expected increases in Arctic opportunities, rightsizing our Canadian equipment fleet to meet current run rate and increasing development and application of low-cost purpose-built technology to provide better data for asset and project management. We believe executing on our priorities will drive revenue diversification and margins. Slide 17 simply provides more data and detail into what we see as fantastic opportunities for organic growth over the next couple of years, and Slide 18 identifies our top 10 infrastructure projects by name, location and proponent so we can track progress more specifically in what we believe will be an exciting next couple of years in the infrastructure market. Slide 19 shows our bid pipeline of over $12 billion, which is a $2 billion increase since Q2 and includes increases in both the active tenders and 2026 opportunities. This record bid pipeline puts the revenue numbers to the opportunities previously identified and positions us well for growth and stability with material expected wins over the next couple of years. Lastly, on Slide 20, we reiterate our H2 2025 outlook with nearly all metrics unchanged and strong free cash flow consistent with our historical profile. That ends the Q3 presentation. We'd be happy to take any questions you may have.
Operator: [Operator Instructions] The first question comes from Aaron MacNeil at TD Cowen.
Aaron MacNeil: In the prior quarter, you had said that you were confident in securing 2 memorandums of understanding by the end of this year. How should we think about the progress there? I know you mentioned on Slide 19 that you had prequalified for a mining infrastructure project in Arizona. I assume that's one of the 2, but maybe you could just give us an update there?
Joseph Lambert: Yes. We -- there's different levels of agreements we seek with different partners. Obviously, some of these that, we may be looking at doing on our own, we won't have that. But I think our progress has gone well. I think our discussions with other potential partners we target for, especially some of the projects up north, have gone well. I'll probably provide that with our year-end exactly where we sit on those. It's really a first state step in the infrastructure side. And we're having the discussions with general contractors who have existing contracts to see if we can bring in some subcontracting opportunities sooner and hopefully in 2026, but certainly nothing inked on that right now.
Aaron MacNeil: Fair enough. And then, can you just remind us of the timing of when Fargo-Moorhead will wind down? And how should we think about the sequencing of sort of other infrastructure projects backfilling that revenue?
Joseph Lambert: We see it reaching substantial completion next fall.
Operator: The next question comes from Adam Thalhimer at Thompson, Davis.
Adam Thalhimer: Congrats on putting the Q2 issues behind you so quickly. I wanted to ask first on the U.S. infrastructure opportunity. Does that potentially include work for private sector customers as well, such as data centers? Or are you just looking at large civil projects?
Joseph Lambert: The ones we have targeted in the deck are all public projects. We certainly look at private ones. It's just a matter of getting on those bid lists and spending more time with the customers there.
Adam Thalhimer: And how near term -- you said you were positioning to support major GCs across North America who are at capacity. Just curious how near term that particular opportunity could be
Joseph Lambert: That's pretty much the stuff we see in 2026 potentially being subcontracting work where there's -- yes, we -- there's -- the general contracting community is pretty full, and there's projects still rolling out. So we think that's going to open up some opportunities to support projects that are already in progress or soon to be.
Adam Thalhimer: All right. And the last one for me on Australia, the mechanics situation, are you where you need to be on that now? Or do you still need to hire more folks to fill those slots?
Joseph Lambert: We're where we need to be. We'd still like to keep bringing on more. I mean we kind of budget a certain level of subcontractors in the business, and we do the same thing here. But we're certainly looking at opportunities to reduce costs further, but we're at our -- what I would call our historical levels. It's just upside potential or improvements that we can continue to make.
Operator: The next question comes from Maxim Sytchev at National Bank Capital Markets.
Maxim Sytchev: I was wondering if we can circle back to Australia just for a second. I mean, obviously, you're highlighting coal and iron ore opportunities. But I was wondering in terms of precious metals, I mean it seems to be like a very active space right now. Is there anything brewing on that front? Anything you can share with us in terms of potential pipeline there?
Joseph Lambert: Yes. There's actually a massive pipeline in the Western Australia gold market as well, Max. That's a big area. The lithium is actually still being mined in Western Australia. It's probably the higher grade stuff. But certainly, with the lift of lithium and nickel, we'd see those commodity markets open up. The biggest driver in Australia right now on the precious metal side is gold. And as you would expect with these gold prices, there's quite a few people that are doing expansions and opening up new mines there, which moves a lot faster than it does in North America.
Maxim Sytchev: Right. And I guess, I mean, like in terms of equipment, et cetera, like I mean, it's still the same process, similar contractual structure, et cetera, for those brownfields, right?
Joseph Lambert: Yes. I would say that what we find slightly different in Western Australia is that there's a lot more unit rate work, very little rental, a lot more unit rate work down there. And that's really where we brought our systems and processes over and been able to -- we won the first one last year with that copper project and taking that unit rate model into Western Australia is what we would look to be doing.
Maxim Sytchev: Okay. That's good to hear. And then in terms of Canada, when we look at some of the critical mineral opportunity, the budget that just was released, I mean, it seems to be pretty constructive. I was wondering how do you think about potential timing of the inflection point here? And I don't know if you want to maybe attribute some stuff to Nuna, some to the core business, whichever way you think is -- makes the most sense?
Joseph Lambert: I'd say we're a bit unclear on the timing. We've seen a lot of projects and there's a lot of talk of support. But yes, we're looking for once the shovel is going to be in the ground date. And I don't think we're expecting anything in 2026. I think it's probably more 2027, but I'd love to be wrong about that, and certainlyif they can speed these up and give us opportunity sooner. But right now, we don't -- we haven't heard a lot of definitive dates. And so we're -- I'd say, we're being a bit more conservative in believing they're going to kick off in 2027.
Maxim Sytchev: Okay. Makes sense. And then lastly, in terms of Canada, in terms of the right sizing of the fleet, I mean, where are we in terms of that process? Are we kind of done or you're still waiting depending on the allocations on equipment for 2026 that you still have to make some adjustments? Or how do you feel from that perspective?
Joseph Lambert: There's some of that fleet we know what we have to do with it. We're building strategies by each individual fleet. But yes, we're waiting to find out these last bids to figure out what the consumption of the remainder of the fleet is. And we'll have a much better idea of that come mid-December. But we're executing -- I can tell you that there's -- we've got 3 more dozers we're looking to send over to Australia because they haven't been in high demand here, and they've been crazy demand down there. So that kind of stuff is going on every day. And we'll have more of a, again, a wholesome picture of the whole -- of the fleet probably in that mid-December discussion.
Operator: The next question comes from Sean Jack at Raymond James.
Sean Jack: So just thinking about how Canada and Australia, are both seeing their own macro tailwinds split between nation building and critical minerals. Can you touch on the priorities for NOA and how we should expect the company to invest across either geography to get the best, most visible return?
Joseph Lambert: Yes. For me, it's getting -- especially in the mining sector, it's getting the maximum out of the assets we have and creating the highest return. We think there's a lot of growth potential we can do in Western Australia, in particular, with very little growth capital. And that creates the highest returns for us. Those are our target markets. I think we can walk and chew gum at the same time, too, is there's -- these infrastructure jobs tend to be very low capital intensity and they free cash flow very quickly. So certainly, we'll be pursuing all aspects of those along with the critical minerals and the commodity opportunities we see in Western Australia.
Sean Jack: Right. Perfect. And flipping to Australia, I know it's already been asked, but just thinking about the contractor usage in the period. There's been 2 quarters now where they've impacted margins. It sounds like they were actually on 2 different functions. Wondering what the strategy is going forward to mitigate just overall impact from contractor usage going forward?
Joseph Lambert: We've been through this more than once in -- both in Canada and down there. It's just building up your skilled trades workforce through apprentice programs and bench hands. We've done this. We're at the levels we budget to be, but certainly, we see more opportunities for continuing to increase the skilled trades in areas that have high demand, which Australia has been the biggest one right now. So it's following our HR programs and bringing in apprentices and building them up quicker.
Operator: This concludes the Q&A section of the call, and I will pass the call over to Joe Lambert, President and CEO, for closing comments.
Joseph Lambert: Thanks, Joanna. Thanks again, everyone, for joining us today. We look forward to providing next update upon closing of our fourth quarter results.
Operator: Thank you. This concludes the North American Construction Group conference call regarding the third quarter ended September 30, 2025. You may now disconnect.